Operator: Good day, and welcome to the Innodata Third Quarter 2021 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Amy Agress. Please go ahead.
Amy Agress: Thank you, Shelby. Good morning, everyone. Thank you for joining us today. Our speakers today are Jack Abuhoff, CEO of Innodata; and Mark Spelker, our CFO. We'll hear from Jack first, who will provide perspective about the business, and then Mark will follow with a review of our results for the third quarter. We'll then take your questions.  First, let me qualify the forward-looking statements that are made during the call. These statements are being made pursuant to the safe harbor provisions of Section 21E of the Securities Exchange Act of 1934 as amended and Section 27A of the Securities Act of 1933 as amended.  Forward-looking statements include, without limitation, any statements that may predict, forecast, indicate or imply future results, performance or achievements. These statements are based on management's current expectations, assumptions and estimates, and are subject to a number of risks and uncertainties, including without limitation, the expected or potential effects of the novel coronavirus, COVID-19, pandemic and the responses of governments, the general population, our clients and the company thereto; that contracts may be terminated by clients, projected or committed volumes of work may not materialize, acceptance of our new capabilities, continuing Digital Data Solutions segment reliance on project-based work and the primarily at-will nature of such contracts and the ability of these clients to reduce, delay or cancel projects; the likelihood of continued development of the market, particularly new and emerging markets that our services and solutions support continuing Digital Data Solutions segment revenue concentration in a limited number of clients; potential inability to replace projects that are completed, canceled or reduced; our dependency on content providers in our Agility segment, a continued downturn in or depressed market conditions, whether as a result of the COVID-19 pandemic or otherwise; changes in external market factors; the ability and willingness of our clients and prospective clients to execute business plans that give rise to requirements for our services and solutions; difficulty in integrating and deriving synergies from acquisitions, joint ventures and strategic investments; potential undiscovered liabilities of companies and businesses that we may acquire; potential impairment of the carrying value of goodwill and other acquired intangible assets of companies and businesses that we acquire; changes in our business or growth strategy; the emergence of new or growth in existing competitors; our use of and reliance on information technology systems, including potential security breaches, cyber-attacks, privacy breaches or data breaches that result in the unauthorized disclosure of consumer, client, employee or company information or service interruptions and various other competitive and technological factors and other risks and uncertainties indicated from time to time in our filings with the Securities and Exchange Commission, including our most recent reports on Form 10-K, 10-Q and 8-K and any amendments thereto. We undertake no obligation to update forward-looking information or to announce revisions to any forward-looking statements except as required by federal securities laws, and actual results could differ materially from our current expectations. Thank you. I will now turn the call over to Jack.
Jack Abuhoff: Thanks, Amy. Good morning, everyone. We're very happy to be here today with you this morning, and I thank you for joining us. Today, we're pleased to announce that we achieved 20% revenue growth in Q3. And more importantly, we anticipate this growth to accelerate in Q4 as well as next year. Our confidence stems from the new deals we're signing, the traction we're getting in the market with both existing and new capabilities. The productivity ramp-up we're anticipating from our expanding sales force and current expansions and anticipated further expansion of several of our new key customer relationships.  Q3 represented our fifth straight quarter of year-over-year growth. Our incremental revenue growth has been highly profitable. 71% of our incremental revenue in Q4 flowed through directly to our gross margins, thanks to strong operating leverage on fixed costs and effective cost control. We're essentially funneling this incremental gross margin as investment back into the business in some very exciting ways that we believe will accelerate growth while at the same time, we're carefully managing free cash flow.  I liken our business to a flywheel. A flywheel starts with a bunch of small turns, but as it gains momentum, the flywheel builds on itself and produces more and more positive results. We believe that's the effect we're seeing in our business. We believe one of the best investments for our internally generated cash is organic growth in our business. We anticipate that the growth expenditures will continue to be funded through internally generated cash flow and internal resources.  It's worth pointing out that even with significant growth expenditures, our cash has increased to almost $21 million at the close of Q3, up from $17.6 million at the end of last year. On our Q2 earnings call, we said that we anticipated announcing important new wins and important new capabilities. Indeed, we announced the 5-year data and SaaS software subscription deal that we anticipate will yield $11 million of revenue with one of the world's largest banks, who is our charter customer for a new SaaS software product.  We also announced the $3.8 million win with the new customers supporting its AI predictive model development around medical information. We're seeing opportunities to expand both of these relationships further over the next several months. These deals represent both important new wins and important new capabilities. On top of these wins, we announced that we are now firmly engaged with the second large Silicon Valley tech company, having quickly won engagements that we anticipate will yield approximately $1.8 million of revenue around content moderation, intelligent document understanding, computer vision, and health records management, again, with opportunities for expansion.  We believe these large tech companies often spend tens of millions of dollars, some even over $100 million on AI initiatives. So getting our foot in the door opens up significant opportunities for expansion. Lastly, we announced that Agility, our AI-driven SaaS industry platform for corporate communications professionals had been named Momentum leader in the $4.5 billion PR software market. and we launched an exciting new Agility release that features several innovative AI-enabled workflows.  I have never seen this kind of momentum in our business. AI is increasingly seen as strategic by companies across verticals and as a result, our services are increasingly relevant. Here's the key. Every AI initiative begins and ends with data. AI applications are trained with large quantities of data, not programmed in the traditional sense. So when they perform well, it's because they were trained with high-quality data.  So whether we're creating high-quality AI training data for data sciences teams at large Silicon Valley tech companies or building and managing AI algorithms for financial services companies or offering AI-enabled SaaS platforms to subscribers, the core ingredient, the sine qua non, if you will, is high-quality data which is what we've built a 30-year reputation on.  To capitalize on the significant opportunity, we're focusing our investments on sales force expansion and new product development. This year, we've been executing a plan to expand our sales force from 19 sales execs at the beginning of the year to 110 at the end of the year. This is close to a 6x expansion. As of October 1, we were at 82 sales execs. So we're well on our way. Even though it's a tight labor market, we're finding some very high-quality people out there.  Of the 91 heads we've added or are planning to add to the sales force, 85 are to be assigned to sell our Agility platform, the SaaS platform built with AI and data at its core, which, as I mentioned a moment ago, is now ranked as Momentum leader in the $4.5 billion PR software market. We have about $12 million of Agility annual recurring subscription revenue presently and a 94% net retention that we believe is likely to improve.  We go to market with both direct sales as well as channel sales. Our channel partners consume our data feed within their products, white label our product or resell our product. We anticipate aggressive growth from our sales force as it ramps up. Additionally, we're focusing growth from our channels, both from existing channel partners and new channel partners we're bringing in. You can expect to hear news from us about new channel partners within the next few months. Our Agility SaaS platform has allowed us to build a core capability in SaaS sales and marketing as well as SaaS enterprise software development and product management.  To capitalize on this expertise, we plan to launch 4 additional SaaS platforms in the market, all our own IP, all built on our proprietary Golden Gate AI technology, and all designed to yield high-quality recurring revenue. We announced just this week, the general availability of one of these new platforms, our new data annotation SaaS platform, which we believe will serve needs we've identified in today's marketplace. In addition, we are developing a SaaS platform to help companies deploy and productionize AI models.  We expect general availability of this platform in the first half of 2022. Taken together, we believe these 2 new subscription platforms, one for AI data annotation and one for AI model management and deployment, will extend and complement our fast-growing AI managed services. Apart from these 2 new platforms, we're also building a SaaS industry platform that will initially serve the financial services industry.  In September, we announced a large win with a multinational bank that has become a paying customer for this new platform. Tentatively, we're planning general release of this platform late in the second half of 2022. The fourth new SaaS platform currently in development is an industry platform designed around medical data analytics. We're targeting general release of this platform in the second half of next year as well.  We believe these 4 new platforms will significantly expand our core value proposition of accelerating and simplifying the adoption of AI and will help to further diversify and differentiate our products and services that are designed to help companies obtain the benefits of AI. Of this quarter's $17.4 million of quarterly revenue, we regard about $15.8 million or 91% as recurring revenue with significant lifetime customer value. We believe we will be able to grow our recurring revenue as a result of expanding relationships with the large technology companies we're signing, landing new customers for our AI services and solutions, growing our Agility SaaS platform direct and indirect subscriber bases, and over time growing subscribers to our new SaaS platforms.  Our pipeline is robust and it's growing. We're working with an expanded assortment of large enterprises as well as early-stage companies with many opportunities in late stages. It is also worth mentioning that on top of the 2 large Silicon Valley tech companies we've announced, we're getting off the ground with a third. Once we build a bit more momentum with this third company, which we are expecting to do, we'll get a formal announcement out.  In addition, we have discussions continuing with a couple of other large techs as well. When we reflect to the cloud and the AI work Innodata is doing with its customers, it becomes clear that AI is destined to be in everything that we do and everything that we use. We're working on AI implementations designed to help organizations modernize or streamline processes, AI implementations that deliver deeper more insightful analytics, and AI implementations that promise fundamentally new experiences.  It is also interesting to observe that many of these initiatives are harnessing the technology to address current macro events such as labor shortage and supply chain challenges. I'll now turn the call over to Mark, our CFO.
Mark Spelker: Thank you, Jack. Good morning, everyone. Revenue for the quarter ended September 30, 2021, was $17.5 million, up 20% year-over-year. Net loss for the quarter ended September 30, 2021, was $0.8 million or $0.03 per basic and diluted share versus a net income of $0.2 million or $0.01 per basic and diluted share in the year ago quarter.  Revenue for the 9 months of 2021 was $50.5 million, up 18% from the year ago period. Net loss for the first 9 months of 2021, was $0.5 million or $0.02 per basic and diluted share versus a net loss of $0.6 million, also $0.02 per basic and diluted share in the year ago period. Cash and cash equivalents were $20.9 million at September 30, 2021, up from $17.6 million at December 31, 2020. Thank you. And operator, we are now ready for questions.
Operator: [Operator Instructions]. Our first question comes from Dana Buska with Feltl.
Dana Buska: Congratulations on your wonderful quarter. It seems to me that you had a very nice cadence of new contracts coming in this quarter. And I was wondering if, with these new contracts, is it a strategy of landing and expanding with these contracts?
Jack Abuhoff: So great question, Dana. Absolutely, that's the strategy. And with a couple of these contracts, you're seeing something that's even going beyond that. A couple of these contracts are essentially charter customer contracts with new capabilities and new platforms. And the idea is we hone what we're doing, we perfect it, we make sure we're tightly aligned to the customers' requirements, we send our product managers out to verify that the market requirements are reflective of the customer requirements and then we throw sales and marketing behind it. That's the formula we're working on.  I was thrilled that we got essentially new requirements and new capabilities to two very large contracts in the market that we announced and I'm really looking forward to productionizing those and scaling those and getting our sales and marketing team working on them.
Dana Buska: Excellent. That sounds just wonderful. I have another question, and this one has to do with your new data annotation platform that you announced. Could you talk a little bit about how you anticipate marketing this?  And are you anticipating this to be its own profit center. And I know you talked about other SaaS applications. Are they going to be also like their own profit center assigned with like product management and all that capacity around that?
Jack Abuhoff: Yes. So let me start with the last thing you said in terms of product management. I think that's a very critical part. And each of these products will, in fact, have a product manager assigned to it. And the product manager's job is to make sure that what we're building is not a product of our own pure invention but is reflective of market problems; identifying white spaces in the market where we can build product and fulfill those needs.  Now historically, we've been primarily a managed services company. Agility was our first foray into something a bit different there. But what we're seeing is, as we go along, especially in this much larger market that we're addressing, is there are gaps. There are things that -- despite the number of people building tools and platforms for this market, there are some significant gaps.  And we've got the technologies that we use in our managed service to encapsulate in new products and bring those to market. We've got now new capabilities for scaling sales and marketing around SaaS platforms. We've got new capabilities for product management and product engineering of new SaaS platforms. So this, to me, represents a very exciting new chapter in our growth trajectory.
Operator: Our next question comes from Tim Clarkson with Van Clemens Capital.
Timothy Clarkson: Jack, Mark, great quarter. I guess, I'll get a real big picture question first, and then we'll go into a few details. I noticed that you haven't sold any shares, and I was talking with Nick, the Chairman, he hasn't sold any shares. I'm in the same situation. I own a lot of shares. So the way I look at it is we're kind of maybe starting the second inning with this AI stuff.  Maybe you might want to talk about where we are and the potential going into the fourth quarter next year and what should develop?
Jack Abuhoff: Sure, Tim. I think the real important thing that motivates us so significantly is this AI thing is a really big deal, and we're in the very early innings of this game. We're working with customers now who have been working with the technologies for several years, and we're finding that we're relevant to them.  We're finding that we can be helpful and help them struggle with something -- or help them avoid struggling with some things they've been struggling with. And then equally importantly, we're working with companies and very large companies who are now just starting to figure out their strategies, to figure out, well, what do they need?  Do they have data scientist teams and new training data? Do they lack data scientist teams and what they need is model management and deployment? Or are they looking for a fully packaged solution, one of our industry solutions that can encapsulate the AI into an application that they can immediately start using.  So we think we're addressing this early inning market in a very comprehensive way, and we're very excited about that. Fundamentally, we're about data, and we always have been. We struggled with our market size. As a result of what's going on in AI, our market is wide open to us, and it's very exciting indeed.
Timothy Clarkson: Right. Okay. A couple of more specifics here. Do you have any expectations in general in terms of revenue per salesman on a forward basis? I mean, how much do they need to generate to be useful to Innodata?
Jack Abuhoff: Yes. So a really good question. The answer to that is that it depends on the business that we're looking at. So in terms of our solutions and services business, the salespeople carry much higher quotas in managed services. In platform business, where the average revenue per customer is significantly smaller, the salespeople carry smaller quotas.  They're kind of a different style of -- it's a different style of sales. And a lot of the ramp-up we're doing this year is around that business. We can be hiring in much smaller numbers, salespeople for the services solutions and have them be equally impactful. In addition, next year, we plan to add more salespeople to the service and solutions piece. And then, as I discussed with Dana, I'm starting to build sales capabilities around these new platforms as well.
Timothy Clarkson: Right. Now I noticed in terms of -- maybe Mark can respond to this, too, that your gross margins for this quarter were almost 50% versus last year 40%. How high can these margins go on a forward basis?
Jack Abuhoff: I think it's going to depend on the mix of the business. When we look at contribution margins in SaaS businesses, you can be talking about over 80% contribution margins quite clearly.  In services and solutions, it's a bit lower than that. So depending upon the mix, that will determine the gross margins. We do think that there is room to continue expanding the gross margins for sure.
Mark Spelker: And I think as our revenue hopefully continues to increase, with certain levels of fixed costs, as Jack mentioned in his comments, we will leverage those fixed costs and that will result in higher margins and a more significant portion of our revenue dropping right to the gross profit line.
Timothy Clarkson: Right, right. Now this is just a quick and dirty analysis on my part, but I'm thinking that somewhere above $20 million, $22 million that you start to become profitable, and maybe $25 million, you start netting 10%, and $30 million, you start netting 20%, without holding you to anything? I mean are those reasonable kinds of ideas in terms of understanding what Innodata's future profitability can be?
Jack Abuhoff: Right now, we're deep into planning 2022, and we're making decisions about investment. We think the opportunities for the company are so compelling that we're aggressively investing in new capabilities, as you see. You see the kinds of new contracts we're landing with new capabilities. You see the ambition that we've got to make a bigger foray into SaaS.  And we're doing this through deploying the incremental gross margins and supporting it with our balance sheet. But at the same time, we're maintaining that balance sheet. So we think that, that's a great strategy. We think it protects equity real well. We think it will do great for us. And to help investors understand the profitability of the business and the increased profitability of the business, we're going to keep looking at that gross margin line.  We're going to keep looking at what is the incremental available contribution on that gross margin? How much of our revenue dollars are flowing to gross margin? We're going to continue, I believe, to see an acceleration in that. What we do with the money, where we deploy it? Well, I think the best way to deploy it now is in the investments that we're now talking about.
Timothy Clarkson: Sure, sure. Now when you talked earlier in your comments, you talked about quality of data. I mean, do you mean by quality of data that Innodata is a lot more accurate? I mean, I know that's a big part of it, but -- or is there more to it than just being more accurate?
Jack Abuhoff: So there is more to it than accuracy. When you're talking about training AI models, it's a very complex space. It involves lots of mathematics, looking at not just the quality of data, but looking at edge cases, being able to identify edge cases, being able to address edge cases, sometimes with synthetic data capabilities like we've discussed. It's a complex area.  But at its core is quality, whether you're measuring that quality in terms of accuracy or ability to identify problematic data, ability to address confidence level issues, ability to build technologies that automate much of that. And all of these things that we're doing now. All of those challenges are things that in some form or fashion we've addressed for many, many years.  This is a new use case. It's a bit different than the old use cases for sure. But it's built upon it. It stands on the shoulders of that. And that's what gives us a significant competitive advantage that is being recognized by the customers that we're winning. I've always believed that, well, with the new customer, you get your foot in the door and you take on a small amount of work and then you scale.  One of the contracts that we announced in the last several weeks with a new customer, close to $4 million of commitment there. And as I said in my prepared remarks, I think that that's going to expand over the next couple of months. So something is going real well. And I think what it is, is that we've got the chops to address market challenges that are significant now.
Timothy Clarkson: Right. Now in terms of what you would perceive as your competitive advantage, is it more about the experience and skill of the people? Or is it more of some of the AI tools that you use to augment that?
Jack Abuhoff: I think it's a combination. I don't like to deprecate people. So even when it is the technology, our technology is operating very, very well. Well, the technology came from somewhere. It's proprietary to us. It came from our people.  We've got a really great team right now. We've got a team that's firing on all cylinders. And I think that the work that they do collectively and the technologies that they're developing are proving themselves out in the market.
Timothy Clarkson: Sure. One last question. I mean, at what capacity or what level of revenues, $25 million or $30 million, do you have to hire more people to be able to just do the volume of work?
Jack Abuhoff: So it depends on the business. There are aspects of our business that are more dependent upon and linear with labor and there are aspects of it that are not at all. I think generally speaking, we're seeing less dependency on labor. We're seeing more criticality, more importance given to automation and the kinds of technology automation that we can bring to the table. And then in SaaS platforms, of course, there's a complete disconnect. There isn't a labor component that's required to invest on the increment. So I hope that helps.
Operator: We'll take our next question from Tim Madey with White Pine Capital.
Timothy Madey: Nice quarter, guys. I had just a couple of questions here. One is, maybe you could talk just a little bit about the capacity you have in the sales force now bringing people online?
Jack Abuhoff: Sure. Tim, we'd be happy to. Is there a specific question you've got?
Timothy Madey: Well, yes, I'm thinking about you've hired a number of new sales reps, and you've done it while still being cash flow positive, but I'm thinking about the potential and the ramp of those sales reps and for what period of time they reach quota? And as I think about it maybe in an aggregate on average, where they are in that progression now?
Jack Abuhoff: Great question. So let me think about that relative to where we're going as opposed to where we are. I mentioned to you that we're at 82 now, our plan calls for 110 by the end of the year. I think we're going to fall probably a little bit short of that plan.  But if we do, we'll catch up within the next few weeks, like 2 to 3 weeks after the close of the year. So we're in good shape. So what does that mean? Well, when we take the solutions and services business, where we're going from what was about 9 people at the start of the year to 15 people at the end of the year.  Those people carry quotas depending upon who they are and exactly what business they're assigned and what accounts they're assigned to, but it's probably about $1.5 million of quota-carrying potential that represents. We're planning on scaling that part of the sales force aggressively next year, by the way.  Most of the headcount that we've hired is in our Agility business. It's a SaaS subscription business. A lot of the 95 people that we're scheduled to have by the end of the year are in enablement roles, are in channel roles, are sales managers, sales directors. So we've got some headcount there. There are some account managers who carry quota as well.  There's some BDR people who are lead gen folks. Of the 95, probably about 50 of them are account executives. And our account executives in that business carry quotas of probably around about $450,000 each.
Mark Spelker: Let me just get the last part of that. In terms of ramp-up, we target an 8-month ramp-up, and that includes about 1.5 months of heads down training and then mentorship, during which they ramp up to become progressively more capable, more productive. They're closing more deals per month. We're bringing people in and we've accelerated bringing people in just in the last couple of months. So that ramp-up is going to continue into next year. The good news is that we're seeing that people are tracking pretty well to their ramp-ups, meaning the ramp-up that we modeled against, they're not disappointing us particularly. They seem to be tracking well to that.  We've built our overall models for the business around that. So that's the good news. We think we have to just continue to execute very, very well. Tom Perchinsky, our Chief Sales Officer, is doing a wonderful job at best. He's scaled sales of SaaS organizations before successfully, he knows what he's doing.  We're just watching those numbers really, really carefully and making sure that as we grow this aggressively at an individual level, they're tracking to that normative ramp-up that we've built our models around.
Timothy Madey: I appreciate the color. I'm just thinking about another comment you made about $15.8 million of your revenue you consider recurring. I can see that nice growth on the Agility line as well as the DDS line north of probably 20%. If you could help us with the margin structures maybe of your recurring revenue component versus your nonrecurring revenue perhaps? And am I right about that growth rate?
Jack Abuhoff: So let me try to parse that question. I may have lost a piece of it somewhere. I think you were asking about whether margins at an engagement level are different for recurring versus nonrecurring work. The answer to that is they are not. They're similar. I mean product margins can differ one project or one engagement to another, but we don't see a correlation between whether it's recurring or nonrecurring and margins.  There is, of course, correlation relative to business models; we're selling SaaS software, incremental margins are higher than they are if you're selling managed services. That's the truth. You mentioned that we're seeing good growth in DDS and Agility. And that's certainly true. On the Synodex side, I just want to mention, too, that we're projecting very, very solid, very exciting growth coming from that platform as well for next year. In fact, we already have enough business book kind of in the bag to probably close to triple that revenue in Q1. So very good things going on there. That's not to be dismissed by any measure.
Timothy Madey: On the Agility product line, you've mentioned 4 new products that you're introducing. What is the product that's driving the growth now?
Jack Abuhoff: So the product that's driving Agility growth now is the Agility PR platform. And that's the platform, of course, that's been recognized as a market leader, which is super cool and very exciting for us. The other platforms are in various stages of development with charter customers. We will most likely not be -- revenue from those will not be reported in the Agility segment most likely.
Timothy Madey: How would you characterize if you look at Agility alone on that margin structure?
Jack Abuhoff: So that margin structure is -- there's essentially no cost to deploy an additional subscription in Agility. The cost that you incur is sales related and marketing related costs. So as a result, the incremental margins are very, very high than what you would expect from the SaaS business.
Timothy Madey: Great. And I think you've answered this in a number of different ways, but I was wondering if you could just summarize or unpack a little more of your flywheel comment from a technology perspective as well as maybe a sales momentum perspective?
Jack Abuhoff: Yes. We think it's a really good metaphor because there's a lot to it. It's like, on the one hand, there's kind of confidence and enthusiasm and that confidence and enthusiasm builds on itself. And we see that when we penetrate a new customer and we do good work and we win, we tend to win new business. We tend to expand well. And that's because we performed well on 1 thing. So there are 2 more things that they want to talk to us about. Well, you do those 2, and then there's 4.  So a lot of it's that. But it goes into other areas as well. When I look at the people that we're bringing into the business, people we're hiring now, well, why are they joining us? Why am I getting regularly solicited by very senior executives from very serious companies who want to come and work at Innodata. Well, I think the answer is they see what we're doing. They see how successful we are, and they want to be part of driving that success even further.  So I think the metaphor is kind of a perfect one. It's that we gaining that initial -- overcoming the initial inertia was very, very tough. A lot of years of investment went into this to get to where we are. And well, now, as that flywheel is turning, if you will, it can progressively turn faster because we're penetrating more clients. We're addressing several large market requirements. We're finding new people who want to be part of our journey and help propel us forward. And all of that just has that accelerating effect.
Timothy Madey: I've often heard the flywheel characterization synonymous with the AI technology itself too. Could you elaborate on that a bit?
Jack Abuhoff: Yes. Absolutely. Excellent point. So the way the neural networks work that are fundamental to AI is they've learned by examples. So if you showed them a few examples, they learn something. If you show them more examples, they learn more. And the more examples that you're feeding into them, the higher they perform.  That's a gross simplification of how it works, but I think it's good enough for this discussion. So the result of that is that as you're training your algorithms and as the AI is performing progressively better, the number of different use cases that you can address with those algorithms increases.  So there may be things that you can do where it performs so-so, maybe it's like 80% accurate, but then you can put some rules-based technologies on top of that and it's good enough for some analytics. But then you keep going and you're feeding more data into it, you're training it with more data and you're training it more closely and you're engineering it progressively better and better. And then it's performing at 90% or 95%. And well, the 95% accurate data, then there are other use cases that you can address.  So what's very exciting to us is a couple of things. First, we've created an AI platform that we've trained with a lot of data. We're a data company. We've got a lot of data. So we've trained our algorithms to perform very, very well. We're building those algorithms. We're embedding them into many of our platforms, all of our new platforms for sure.  We're deploying those as accelerators for many of our existing clients, enabling to get better results and more accurate results. And just like you say, as we keep going down that journey, our performance only gets better. And as it gets better, our customers like us more. As they like us more, they give us new work to do. As the algorithms perform better and more use cases become presentable and become actionable, then that creates more market opportunity.
Timothy Madey: It's almost like a flywheel, I keep coming up with more questions. Just 2 more questions, if you wouldn't mind. One is I'm thinking about your second Silicon Valley win. And I think you mentioned content modulation and health record work, all with the same customer. Is that correct?
Jack Abuhoff: Yes, that's correct.
Timothy Madey: And what did you mean by content modulation?
Jack Abuhoff: Content moderation. So identifying content that violates terms of service, identifying toxic contents and things that a platform doesn't tolerate presented within its platform.
Timothy Madey: Right. But then on the health record side, how would the client use the product there?
Jack Abuhoff: On the health record side, so we've got a number of different initiatives there. What's common in all of the initiatives is people are looking at vast volumes of information, looking to make very quick clinical assessments or looking to perform analytics around risks that pertains to health.
Timothy Madey: Okay. And are there any details you can share or perhaps you did on the length and size of that scope of that contract?
Jack Abuhoff: Yes, I think, on the one that we announced, we talked about it being a $3 million contract with another piece to it, which would be $800,000 recurring. So the $3 million piece would likely be onetime. The $800,000 piece would be recurring. And then in today's remarks, I talked about how there's likely going to be some expansion within that as well.
Timothy Madey: Okay. Last question, I promise. Channel partners, what types of channel partners would you use to resell products?
Jack Abuhoff: So we're using other companies that are competitive with us in geographies that we don't do work. That's one big one. And there's some level of infestuousness, too. We're also looking at certain kinds of channel relationships with people who are somewhat competitive with us. There are several varieties. There's one where we're providing a data feed. One of the components of our Agility service is a very large database that's probably the most pristine database of influencers out there.  We've put a lot into keeping that very, very accurate, that becomes an interesting channel relationship. We can port that to other people on a white label basis. And the other thing that we're doing is we're doing a pure white labeling, where we take our products and we put someone's logo on it and we let them go sell it in other jurisdictions.  And then in addition, we have resellers. We have people who can have complementary businesses, they have complementary client bases, and they don't have a product that does what ours does, they can resell our product.
Operator: That concludes today's question-and-answer session. At this time, I will turn the conference back over to Jack for any additional or closing remarks.
Jack Abuhoff: Thanks, operator. So yes, to quickly recap, we're planning for accelerating growth in Q4 as well as next year. Our expanding sales force will become progressively more productive. We're going to close late stage deals. We're planning on expanding programs with new customers and all of that's going to help drive that acceleration.  We remain very optimistic about our ability to penetrate a very substantial opportunity over the long term. We talked about our SaaS initiatives. We're very enthusiastic about the new SaaS data annotation platform and about the other platforms that are now in the works.  And we see this truly as heralding a new chapter in our story. I really don't think Innodata has ever had better execution, a stronger management team, greater momentum and fundamentally a more entrepreneurial spirit. So thank you for joining us. Thank you for your interest. We look forward to being with you next time.
Operator: Today's conference is available for replay from 2:00 p.m. Eastern Time today to December 4, 2021 at 2:00 p.m. Eastern Time. You may access the recording by dialing 719-457-0820 or 1-888-203-1112 using passcode 5102285. Again, the numbers are 719-457-0820 or 1-888-203-1112, passcode 510-2285. This concludes today's conference. You may now disconnect.